Operator: Hello, everyone, and welcome to the Intapp, Inc. Second Quarter Fiscal 2026 Earnings Webcast. At this time, all participants are in a listen-only mode. After the speakers' remarks, there will be a question and answer session. Please be advised that today's conference is being recorded. Now it is my pleasure to turn the call over to Senior Vice President of Investor Relations, David Trone. The floor is yours.
David Trone: Thank you. Welcome to Intapp, Inc.'s fiscal second quarter financial results. On the call with me today are John Hall, Chairman and CEO of Intapp, Inc., and David Morton, Chief Financial Officer. During the course of this conference call, we may make forward-looking statements regarding trends, strategies, and the anticipated performance of our business, including guidance provided for our fiscal third quarter and full year 2026. These forward-looking statements are based on management's current views and expectations, and certain assumptions made as of today's date, and are subject to various risks and uncertainties, including those described in our SEC filings and other publicly available documents that are difficult to predict and could cause actual results to differ materially from those expressed or implied by such forward-looking statements. Intapp, Inc. disclaims any obligation to update or revise any forward-looking statements except as required by law. Further, on today's call, we will discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results, including non-GAAP gross margin, non-GAAP operating expenses, non-GAAP operating income, non-GAAP diluted net income per share, and free cash flow. Our GAAP financial results, along with reconciliations of GAAP to non-GAAP financial measures, can be found in today's earnings release and its supplemental financial tables, which are available on our website and as an exhibit to the Form 8-K furnished with the SEC prior to this call, or a supplemental financial presentation, which is available on our website. With that, I'll hand the conversation over to John.
John Hall: Thank you, David. Good afternoon, everyone. Thank you for joining us today as we share the results of our fiscal second quarter. I'm happy to share that once again, we've achieved strong quarterly results, supported by the addition of new clients and the expansion of client accounts around the world. Our results also reflect our ability to serve enterprise clients, a growing partner ecosystem, and demand for our AI capabilities in the highly regulated industries we serve. I'll share details on these select growth drivers on this call. In Q2, our cloud ARR grew to $434 million, up 31% year over year. Cloud now represents 81% of our total ARR of $535 million. In the quarter, we earned SaaS revenue of $102 million, up 28% year over year, and total revenue of $140 million, up 16% year over year. Now I'd like to share some highlights from our fiscal second quarter. We continue to execute our vertical AI roadmap, which is designed to increase adoption of AI in the highly regulated industries we serve. As a reminder, our industry-specific AI solutions automate rote tasks, but more importantly, they deliver actionable insights that are drawn from a firm's proprietary information and are enriched with our industry graph data model and trusted third-party sources. These advanced, tailored compliance capabilities are what set Intapp, Inc. apart and why firms continue to invest in their technology. This leads me to my first example. You may recall that last quarter, we announced a significant new release of Intapp Time, which delivers faster, easier, and more accurate timekeeping powered by major new AI features. It's proven to be a catalyst for cloud migrations, with large firms like Buchanan, Ingersoll, and Rooney and multiple AmLaw 100 clients moving their time instances to the cloud. The new time release is also drawing large firms to buy the solution for the first time, sometimes in addition to their other Intapp, Inc. solutions. Examples include CypherX Shaw and Burren Forman. Additionally, we added more than 70 new AI capabilities and enhancements to our DealCloud platform. Among their many benefits, these new advancements save users time, surface personalized actionable data insights, and support InfoSec by monitoring data access in real-time. They come together in DealCloud to boost productivity, support regulatory compliance, unlock firm intelligence, and create a competitive edge. Let's turn to our partner network. We continue to grow our expansive partner ecosystem, anchored by Microsoft and a strategic set of more than 145 curated data technology and services partners. This powerful network continues to drive growth for us and greatly influenced many of our recent logo wins. In Q2, partners were directly involved in seven of our 10 largest deals, reflecting how deeply embedded our partners are in our go-to-market motions. Microsoft, in particular, continues to be a major growth driver. More than half of our largest wins this quarter were jointly executed with Microsoft, and in several, Microsoft even contributed Azure investment dollars to help us accelerate the deals. Our growth was also powered by adding new clients, expanding within existing clients, and migrating clients to the cloud. And we continue to gain traction in newer markets across our verticals, products, and global locations. In our legal vertical, we once again saw some distinct trends across our wins. First, we had some of the largest law firms in the US turn to Intapp, Inc. for AI-powered enterprise-grade compliance solutions. These clients include several AmLaw 100 firms. For example, Roche and Gray chose our compliance solutions to modernize their intake and complex checking processes in the cloud. This transaction was completed on the Azure Marketplace, with Microsoft providing investment dollars to accelerate the deal. An AmLaw 30 firm added our compliance solutions and chose to migrate time to the cloud after attending an event and seeing them in action. And an AmLaw 75 firm chose our compliance products to automate managing access to sensitive matters across applications. Second, law firms continue to choose DealCloud to strengthen their business development operations and innovate with AI. This quarter, Ford and Harrison, and an AmLaw 100 firm, among others, moved off their legacy horizontal or bespoke systems to support more strategic new business acquisition with DealCloud. And third, evolving anti-money laundering and know-your-client regulations are fueling the modernization of intake and conflicts processes globally. A few examples of firms who have chosen our AML solutions in response this quarter include another lens-based firm, Holding Redlich in Australia, and US-based Reed Smith. In the accounting industry, the influx of PE investments and mergers has continued to create disruption and increased competition across the industry. In response, firms, no matter their investment status, are modernizing their compliance practices and extending that modernization to collaboration and business development as well. Among the firms that turned to Intapp, Inc. for AI-driven modernization this quarter, one of the largest public accounting firms in the US deepened its investment in Intapp, Inc. employee compliance to modernize personal independence processes across its global employee base. BKL and Graviton both replaced their legacy systems with Intapp, Inc. collaboration. They needed a scalable cloud-based solution that integrates seamlessly with their Microsoft tools, streamlines collaboration, and sets them up for growth. And a top UK accounting firm chose DealCloud to establish a scalable foundation for relationship management and business development as it undergoes rapid growth through M&A. In the financial services vertical, firms are continuing to replace their legacy horizontal CRMs with DealCloud for AI-powered relationship and business intelligence, especially enterprise and mid-market investment banks. For example, one of the most prestigious boutique investment banks in the world chose DealCloud for its banker advisory business after a successful pilot with its private capital advisory team. The firm sees DealCloud as a way to help its business with purpose-built AI, allowing them to unlock key deal and relationship insights more easily. Meridian Capital chose DealCloud to improve visibility and management of deal origination, active mandates, buyer outreach, and business development and forecasting. Finally, our investments in real assets, including the April 2025 acquisition of Termsheet, continue to attract new clients who are coming to Intapp, Inc. for AI-driven solutions. I'll share a few examples. Neuberger Berman moved off its legacy horizontal CRM and onto DealCloud to improve reporting, streamline workflows, reduce key person risk, and eliminate duplicative and inaccurate data. A leading mixed-use and multifamily housing developer replaced its existing system with DealCloud to improve data quality, user experience, analytics, reporting, and optimization. And Smith Douglas replaced multiple legacy systems with DealCloud, which spans all their divisions and will help them improve workflows and operations so they can deliver homes faster. In conclusion, we're proud of our strong second quarter performance, and we continue to be optimistic about our growth opportunities. As our Q2 performance has shown, we are growing by adding new capabilities and increasing our global enterprise go-to-market reach. We see continued opportunity both to add new clients across a broad TAM and to deliver greater value by expanding our existing client base. We're serving a durable end market with our subscription revenue model, industry-specific cloud platform, and applied AI and compliance capabilities. We have a great growth opportunity to drive AI cloud adoption and modernization across all the industries we serve. As always, I'd like to thank our clients, our partners, our investors, our board, and our global Intapp, Inc. team for their teamwork and dedication. Thank you all very much. Okay, David? Over to you.
David Morton: Thank you, John, and thanks to everyone for joining us today. I'm pleased to share our fiscal second quarter results, which reflect continued strength in our cloud business and disciplined execution across the organization. Demand for our SaaS solutions remains strong, particularly among existing clients, driving solid growth and a higher mix of recurring revenue as we progress through our cloud transition. Our enterprise-focused go-to-market motion is working as intended. We're seeing strength both in net new logo acquisition and expansion within our installed base. As a vertical SaaS company, we have deep domain expertise and a clear understanding of the highly regulated markets we serve. Clients in these markets continue to value the application-specific capabilities we provide, from compliance workflows to applied AI, which reinforces the durability of our ARR growth. This is evident in the continued expansion of our $100,000+ ARR client base and our 124% cloud net revenue retention rate. At the same time, we continue to operate the business with a focus on margin expansion, cash generation, and capital discipline. Gross margins improved year over year, operating income increased meaningfully, and free cash flow remained strong. Combined with our share repurchase activity during the quarter, these results reflect our confidence in the long-term opportunity while maintaining a strong balance sheet. Before we get to the income statement, Cloud ARR hit $433.6 million this quarter, up 31% year over year, driven by enterprise clients deepening their relationship with Intapp, Inc., stronger co-sell activity, and growing adoption of our applied AI offerings. Turning to our fiscal second quarter results, SaaS revenue came in at $102.5 million, up 28% year over year, now representing 73% of total revenue, reflecting strong demand and a continued shift to our cloud offerings. License revenue was $25.4 million, down 9% year over year, consistent with our stated strategy and ongoing cloud migration efforts. Professional services revenue totaled $12.3 million, down 7% year over year. Our partner ecosystem continues to support cloud growth through co-sell execution, client satisfaction, and efficient implementations. Total revenue was $140.2 million, up 16% year over year, driven by strong growth in our cloud solutions. Turning to our capital allocation, as announced in August 2025, our board authorized a $150 million share repurchase program. During the second quarter, we repurchased $100 million or approximately 2.3 million shares. Combined with our first quarter activity, this authorization was fully utilized, resulting in approximately 3.4 million shares repurchased. In January 2026, our board authorized an additional $200 million share repurchase program, further reflecting our confidence in the long-term value of the business. Our partner ecosystem remains a key driver of long-term cloud growth. In Q2, we co-sold with partners on many new logo wins and participation in the Microsoft Azure marketplace, meaningfully year over year. We see this as a durable, repeatable motion, especially for supporting larger enterprise deployments. Service partner certifications rose 35% year over year, reinforcing Intapp, Inc.'s position as a growth engine within the ecosystem. Turning to margins and profitability, Q2 non-GAAP gross margin was 78.1%, up from 76.7% a year ago, driven by favorable mix and cloud efficiency gains. Non-GAAP operating expenses were $81.8 million, compared to $74.1 million in the prior year period, largely reflecting ongoing investments in our product-led growth organization and go-to-market spend. Non-GAAP operating income was $27.7 million, up from $18.9 million last year, and non-GAAP diluted EPS was $0.33. Free cash flow was $22.2 million for the quarter, and we ended Q2 with $191.2 million in cash and cash equivalents, reflecting the $100 million share repurchase. Turning to our key metrics, Cloud ARR increased 31% year over year, while total ARR grew 22%. Remaining performance obligations were $777.1 million, up 26% year over year, providing strong revenue visibility. Our enterprise-focused motion continues to show progress with 834 clients now generating at least $100,000 in ARR, up from 728 a year ago, representing 30% of our total client base. Now turning to our outlook, for 2026, we expect SaaS revenue between $105 million and $106 million, total revenue between $143.8 million and $144.8 million, non-GAAP operating income between $23.1 million and $24.1 million. This Q3 outlook includes incremental spend for targeted marketing campaigns associated with our upcoming product showcase at Intapp Amplify, as well as targeted investments to increase the rate of pace of delivery on our AI suite of offerings. Non-GAAP EPS between $0.27 and $0.29 based on approximately 83 million diluted shares. For the full fiscal year, we expect SaaS revenue between $415 million and $419 million, total revenue between $570.3 million and $574.3 million, non-GAAP operating income between $99.9 million and $103.9 million, non-GAAP EPS between $1.20 and $1.24 based on approximately 83 million diluted shares. And finally, I'd like to remind everyone of our upcoming Day in New York City, followed by our annual Intapp Amplify event, where we'll share our latest AI-powered innovations. You can find details on our investor relations website. Thank you, and I'll now turn the call back to the operator.
Operator: We will now start the question and answer session. To ask a question, press 1 on your telephone keypad. Our first question comes from the line of Kevin McVeigh from UBS. Your line is live.
Kevin McVeigh: In terms of how you're positioning Intapp, Inc. for just the kind of new flow out of Anthropic today?
John Hall: Hey, Kevin. It's John. I just caught the tail end of that. Your voice was silent, but I think you were asking about the Anthropic news today.
Kevin McVeigh: Yes. That's it. I apologize if I'm breaking up on you.
John Hall: Sure. No. That's a great question. So they've released some open-source plugins for the corporate legal department. And it's a good segment of legal opportunity. They are doing things like contract review and NDA. You can look up the plugins. Just to be clear, we have never been in the category of contract review. Our strategy has been differentiated over the long development of technology in these industries because we focused on the firms in professional and financial services. Sometimes you hear people distinguish between the practice of law and the business of law, but it applies across all the types of firms that we're selling to. So we focused on the senior leadership of the firm, how to help them grow their business, how to help their people pursue fundraising for new funds or new clients or new engagements. The compliance of how the firms do business, and operate internally with all of the sophisticated information governance around managing nonpublic information, penetrating information, or other information that needs to be kept confidential in a variety of ways in these complex institutions. Profitability, how the firms actually execute that successfully or drive returns talent management. So the business of these firms has been our emphasis. And there's huge opportunity for AI in all the contract review type things. The LLMs are great at it. We're using a lot of it too. But I think from the value process of the company standpoint, purchasing a giant underserved category that was spent a long time working with the firms to grow. And we've had some great response to our offerings here, and we've really been paying attention to how the firms have the best opportunities to deploy AIoT. So you're not really in this space although it is very complementary to what we do. And the firms actually have come to us and said, can you help us with the whole compliance infrastructure for the agents and everything to help them succeed as they deploy these different use cases to be individual users of the firm. So I actually think our history and our relationship with these firms gives us a tremendous position to be a big influence over how the firms deploy AI in our own products and how they deploy AI generally.
Kevin McVeigh: Very helpful. Thank you.
Operator: Your next question comes from the line of Alexei Gogolev from JPMorgan. Your line is live.
Bella: Hi. This is Bella on for Alexei. Just one question from us. So you announced a partnership with DecimalPoint Analytics last month. And in light of that, I wanted to ask, how do you balance utilizing third-party partnerships to advance your data strategy while also safeguarding the proprietary data that gives you a competitive advantage in the ecosystem?
John Hall: Yeah. Thanks, Bella. We have a very significant investment in an ecosystem strategy that we talk about each quarter because we're bringing a whole product to each of the firms in each of the industries. And part of that is all the professionals have a very rich set of market information or press information that they're looking to bring into their environment to make better decisions about the clients or the deals that they take on and how they execute that work. So we have a strong program. You mentioned one of our important partners, we absolutely have a program of managing data for the firms, each of whom views their experience and their expertise in the particular area as their intellectual property that helps them compete. And this is actually one of the areas of information governance that we are first in the world in is to help the firms manage and safeguard their proprietary information so that they can reuse it. To win new deals competitively, serve those clients successfully, and we have a wide range of data partners that we work with to enable the firms to do that, but we're also focused on helping the firms themselves protect their data. We have some proprietary data that we enable them to use as well. But our fundamental goal is helping each firm differentiate itself using their own expertise. That's how the industry works, and we're sort of at the center of that. And I think it's one of the reasons why our compliance program has been so successful in making its way through the market. And the same is true with the AI era, by the way. The firms are going to use their proprietary knowledge and expertise and experience to differentiate themselves in how they go win new business.
Bella: Got it. Very helpful. Thank you for taking the question, and congrats on the quarter.
Operator: Your next question comes from the line of Parker Lane from Stifel. Your line is live.
Parker Lane: Hey, guys. Good afternoon. Thanks for taking the question. John, for the customers that have been to your early AI offerings here from Intapp, Inc., Assist. What has been the primary hook or motivation point that you've seen from them to get them across the goal line and using this? Is it a desire to do more with less? Is it just drive efficiencies in their business? What are the implications for headcount amongst the customers that are using this as well?
John Hall: Thanks, Parker. Yeah. The Intapp, Inc. Assist take-up has been strong. We've been excited to see how many users at many levels of the firm are interacting with Assist in our AI offerings. Part of the hook is absolutely efficiency. The firms don't want to add tons and tons of headcount if they can get some help from the AI. But a lot of it too, and I think people may miss this, is that with the right AI and AgenTex setup, you can bring a universe of information to each person, whether they're an early career business development person, or a practitioner in the middle of their career or a later stage partner, you can bring a universe of information to them. That would have been cost-prohibitive to try to assemble with a human universe of researchers for them. So, really, the firms that are deploying Assist most successfully are getting much richer, better, clearer answers in a compliant way more comprehensively to all of their people. And they're using that for competitive advantage. So there is absolutely an efficiency angle to that, but part of it is a capability that's difficult to imagine doing in a totally human-powered world. And I think this is a huge focus of the firms because they're all focused on the fact that they don't do what someone else will. And they need to have this capability to compete as the world becomes more competitive with AI powering everybody.
Parker Lane: Got it. And I appreciate the answer earlier on Anthropic, you know, being focused on the practice of law versus the business of law. You know, clearly, a lot of anxiety around not what that looks like today, but the future state of these models and where they can go over the long run. Are you starting to see instances of your customers or potential prospects testing these tools themselves, trying to develop things on their own, with any level of success, or are they primarily going to some of the incumbent vendors like yourself to figure out how to fully make this pivot to an AI-first world?
John Hall: Well, you know, when we first started building the company in the market, it was a self-built technology universe. All the firms could not get technology that met the unique needs, including compliance of the industry. And so they were investing in big IT departments to develop everything themselves. The whole history of the company has been working to provide them with a commercial enterprise-grade secure now AI-enabled set of capabilities to replace all those. And we've built a business doing that. It's been very successful. I think as these AI tools come out, they're absolutely encouraging people to try, and the forward-looking IT departments absolutely are experimenting with them. One of the things that we've been studying over the past two years is what are the reactions of the firms to this? Are they going to change their posture? From what they've developed over the past few years, which is to work with specialist providers who really understand the issues and can provide a supported environment, or are they gonna go back to building it on their own? I think they're going to experiment, but I don't think that that's economically the right answer. I think the right answer is to have somebody who can really provide this to them and support with them, bringing together the best practices that are being developed around the market, which is the whole point of the company. And we've got a lot of clients who are saying to us, oh, that's what you're doing? Thank God I don't have to do it myself. So I think that kind of response, you're gonna see more and more. So we actually encourage the experimentation because it gives people more of a feel for what it's gonna take to really get the valuable solutions out of this. And then we come in and say, here's what we can do for you, and it turns into a continuing growth partnership.
Parker Lane: Got it. Thanks for the feedback, John.
Operator: Your next question comes from the line of Koji Ikeda from Bank of America. Your line is live.
George McGreen: Hi. It's George McGreen on for Koji. I appreciate you guys taking our questions today. I wanted to ask one as it relates to CRPO, and you kinda look at that metric on a two-year stack, you know, that metric actually accelerated, and you know, that's kind of in line with the sequential step up in NRR that we're seeing. So I wanted to ask over the last few months, how customer conversations sounded, and is there any change in tone, and maybe particularly as it relates to adopting AI products generally versus a few months ago? Thank you.
John Hall: Yeah. Thanks, George. The conversations have continued to accelerate. You know, we announced the first versions of this generation of AI just twenty-two months ago, and then a second version in February. We have our new event coming up here in about three weeks. But people have moved from curiosity to experimentation. And now there are a few places where we're really seeing people able to articulate, here is the business value that I can achieve by deploying Assist and AI technologies in these areas in these parts of my business process. Here's the efficiency I'm getting in people. Here's the increased visibility that those people are having in their decision-making, and here's that's flowing through to create a better experience for the senior folks who are working with clients or working with investors. So I think you are seeing really positive reactions. Now you're also seeing continued experimentation all over the place. So I think in the big picture, it is still relatively early. But what we're excited about are these use cases that are coming out that are really starting to pull forward some of our sales and some monetization opportunities that we were very focused on from the very beginning. I mean, we've long felt that the way you bring a next generation of true next generation of technology out is you have to get to those early stellar apps that really make a difference that people can point to and say, of all the infinite imaginings that we could do, that's the thing that I can put money behind and buy and bring it in. And that's what we've been focused on doing. We talk about applied AI, that's really the emphasis of that strategy.
Operator: Your next question comes from the line of Terry Tillman from Truist Securities. Your line is live.
Connor Pastoral: Great. Good evening, Tim. Connor Pastoral on for Terry. Thank you for taking my question. Just wanted to touch on Microsoft for software. So you just you highlighted them as a major go-to-market partner over the past several years, Azure Marketplace execution, joint wins continuing in this quarter. Just kinda curious on in more of a risk-off type environment like today, does that partnership help to, I guess, de-risk the deal cycles or shorten time to close? Or is that more of an impact to visible in terms of expansion upsell as customers are live on the platform?
John Hall: Yeah. Thanks, Connor. No. We're very appreciative of the ongoing strategic partnership with Microsoft. We have talked about some of the ways that we're working with them. Their sales team is aligned with ours on the firms in our target market. They actually get quota relief when we sell. So there's a lot of alignment in the field. But more recently, we've been doing more of these Azure Marketplace agreements. I mentioned a few of them on the call. And interestingly, they tend more towards the enterprise firms. So it's very consistent with our enterprise strategy. We're doing larger deals. They are shortening the sales cycle when the folks already have a Microsoft minimum Azure spend commitment in place. And we've actually won some very large business that we talked about on the call today from some firms that are brand new to us. That came to us through our introduction or relationship with Microsoft. And others that are our long-time partners who want to grow their relationship. So it's working in both growth dimensions for us. We've had folks who had those agreements with Microsoft, and it helped us move them to the cloud. So a lot of the key parts of our overall growth strategy have worked really well with that program. And as we've learned about it and the sales team has done more of it and the clients have gotten used to it and are talking to each other, it's actually growing as part of our overall go-to-market. So it's really helped us a lot.
Connor Pastoral: That's helpful. Thanks, John. And just as a follow-up, looking at the macro environment, just particularly around the backdrop in financial services with the potential for M&A activity to pick up. Typically a tailwind associated with the growing deal pipeline as firms maybe look to check the box on tech enablement prior to an elevated period? Thank you.
John Hall: Yes. I think so. Quite a bit of that. Banks have been doing good business with us. We emphasized on the call today some particularly large ones, in fact. We also have a lot of compliance support for firms that wanna increase their volume. There's this interesting trend happening in the accounting industry itself where private equity is coming in and changing the form of the business from partnerships to corporations and putting capital to work, and those firms are then going on an M&A program themselves, and all of those things are driving demand for upgrading and modernizing the technology infrastructure. So there's a lot of larger macro style trends or industry trends. We think we're really playing into with the strategy here. And as people do this, they wanna have an AI-forward approach to do all that. So I think we've got a great position to benefit from those trends.
Operator: Your next question comes from the line of Steve Enders from Citi. Your line is live.
Steve Enders: Okay. Great. Thanks for taking the questions here. I guess maybe just to start, do wanna ask a little bit about the guidance for the full year and some of the change there. I think particularly looking at the revenue side, it looks like the full beat wasn't really rolled through. And so I just wanna get a little bit clarity on maybe some if there was some revenue that kind of shifts around or if it's a reflection of customers converting more to the SaaS solution faster than expected. Yeah. Just getting any kind of clarity around some of those dynamics would be helpful to search.
David Morton: Yeah. Thanks for the question, Steve. No. We continue to operate on our strategy that we articulated over two years ago at our Investor Day. You know, that being, we are cloud-first. And so, you know, clearly, that's what drives a lot of our key activity. With respect to everything else flowing through, you know, obviously, we'll have puts and takes both with services as well as licensed. That being said, you know, we continue to be successful and continue to orient more and more migrations. And so we'll talk more about how that is not only being modeled by our success vectors coming up here at Investor Day. And then even within our own services, clearly, we discussed just broader on the whole partner ecosystem, and it's always gonna be a delicate balance there as we continue to make investments as well as take that opportunity and more prone to items in and around our customer set and items that will clearly drive our cloud offerings even more so. So, you know, I don't view it as evergreen change to kind of the mix of revenue. We've always been cloud-first and the orientation of that, of which I do believe the full guide was passed through.
Steve Enders: And then so Okay. Gotcha. That's helpful there. And then maybe shifting gears just on in terms of the buyback program. I guess, to see that, that re-upped here just you know, how are you kind of viewing kind of the forward cadence for those plans and putting that into place? And then guess, anything to read into, I guess, broader capital allocation and kind of the ramifications of investing in the business and other areas versus utilizing the buyback.
David Morton: Yeah. We've never had a formal articulation of our capital allocation strategy. You know, that will come forward, more in earnest again at Investor Day. But just for the near term, we have been putting capital to work. We've been focused more so on antidilution measures and offsetting that. Think we've done a good job at that. And so, you know, clearly, we've got a lot of confidence not only in our ability but in the strength of our balance sheet that the board authorized an additional $200 million, and we'll put that to work to offset for dilution as well.
Steve Enders: Okay. Perfect. Thanks for the questions, and looking forward to hearing more in a few weeks.
Operator: Your next question comes from the line of Alex Sklar from Raymond James. Your line is live.
Alex Sklar: Thank you. John, I want to start follow-up on your answer to George's question earlier, just in terms of what you're seeing on broader budgets and AI budgets, maybe within your named accounts, going to 2026. Any sense if these accounts are dedicating distinct spend to AI this year just as you're bringing more solutions to market? And then, Dave called out doing more in terms of increasing spend around delivering AI offerings. Can you just talk about how that fits into your strategy there? Thanks.
John Hall: Yeah. Thanks, Alex. It varies across firms. A lot of firms do absolutely have specific AI budgets or innovation budgets that they're looking to make sure that their firms figure out how to take advantage of the change here. That's benefiting us. We've had several deals that are being funded out of AI budgets. There are also firms that are looking at their IT budgets generally and saying, how do they bring AI in to more traditional ways of budgeting and procuring, and it becomes part of the procurement process. So we've won things in that category as well. Internally, this is a huge focus for us, and it has been for several years. You know, we've tried to be both responsible and forward-leaning in investing in R&D for this generation of technology. We've brought the company through and benefited from each of the previous technology generations from on-prem to cloud to mobile and now AI. Coming up here, at our event in February with Investor Day, and our marketing event is called Intapp Amplify. This is the single largest release that we've ever done. This is the most consequential release that the company is setting up to bring to everybody, and it's been in the works for two years. Since this whole AI generation started to break. And we spent a lot of time working directly with our clients and all the folks who helped us build the company across the marketplace to really appreciate what is it that the potential of AI can do to drive success for these firms. Financially and in their business, compliance area with all the professionals, how do they become much more capable of using AI, applying it in the most successful possible way to compete? And I think there's really interesting learnings from this first couple years of experimentation, and we've integrated that all into our strategy here. And so I really could not be more excited about the February event because the early responses that we're getting from the folks on our ambassador program and our advisory board program could not be more positive about where we're headed here. Because I think these firms do have a disproportionate opportunity in how they can benefit from AI deployments. I also think for the enterprise-class firms, it's doubly complex because they have such significant work that they do for all of the world's capital markets transactions, M&A, litigations. I mean, these are serious projects that these firms execute. And we've grown up working with them, increasingly are the folks that they're turning to for AI. So I'm really excited about what's coming here, and I think the R&D investment has been fantastic and something that we're really excited to keep doing.
Alex Sklar: Alright. Great. Yeah. The product philosophy is definitely picked up, so look forward to more there. Dave, just maybe a quick follow-up for you. Can you just expand on some of the drivers? NRR stepped up pretty notably this quarter. What were kind of the big one, two, three things behind that? Thanks.
David Morton: Yeah. For sure. You know, secondarily, we also orient it around. You know, first and foremost, our enterprise motion is working. Some successful talk tracks about our partner ecosystem. And so if you think about how not only our lands are getting bigger, but also our expanse, because of those two motions, and so in theory, it was both upsell and cross-sell. That we're seeing good uptake. We still have a lot more room to go.
Operator: Your next question comes from the line of Brian Schwartz from Oppenheimer. Your line is live.
Brian Schwartz: Yeah. Hi. Thanks for taking my question this afternoon. John, wanted to ask you a question about different pricing models. Clearly, the forecasts are out there that were expected slow labor growth here, you know, on the heels of AI through the second half of the decade. I think you talked about in your comments how you're working with your customers and experimenting on different types of AI use cases and solutions. What about internally at Intapp, Inc. in terms of the pricing model? Are you experimenting at all in introducing a more consumption or value-based pricing model? Just wondering if there's any testing of that going on. And that potentially could be a new growth factor for the business in the future.
John Hall: Yeah. Thanks very much, Brian. We do have today multiple pricing models in the business, just for clarity. We do have part of the business and part some of the relationships a historical per-user model, it has worked very well. And we are not fully penetrated in almost any of our firms. We have a lot of growth. That we achieve each quarter in that NRR number from getting more people onto the platform using the technology, including the AI capabilities. So platform. So that's absolutely a continued growth driver for us. But we also have today and for a long time a firm-based pricing model for enterprise agreements. It's originally started in our compliance business, but we offer it in other areas and have relationships in many other areas. Where the firm pays based on its size or other metrics that are not for users. So we just wanted folks to understand that. And then from there, so I think we've got a good relationship with firms for the contracts allow us to price to value, and historically, we've been able to do that. From there, we are very interested in what the opportunity is for consumption-based or other metric-based pricing that aligns well with the way that the clients are thinking about the value they're perceiving. I think fundamentally, you know, the software companies have always been able to price value. The mechanisms have changed over the years. But if you can get yourself in a position that they really see what it is that you're doing for them and they benefit and they wanna grow from that, they're happy to pay for it. And we benefited, you know, Bootstrap our company in this particular end market because these firms in comparison to many industries, they're very financially well off. And that's really helped us. They always pay their bills. They're very honorable folks, which I appreciate. And if we can come up with a value agreement, that they're happy with, they're happy to pay it. So we've grown the company for many years working with them, and I'm very interested in this question that you're raising because I think there is an interesting angle. As we grow and take more of the AI services into our own product. How do we monetize that and manage the financials and the economics of that? So we're very open to that, and experimenting a little bit.
Brian Schwartz: Yeah. I agree. Thanks, John, for that explanation. That was really helpful. One follow-up for David. Just thinking about kind of tracking the progress of the AI SKUs in relation to the ARR growth, how do you think about the of AI? How that will play out for Intapp, Inc.? In the second half of the fiscal year, is there anything that investors that we should look to to be able to, you know, better gauge you know, how the AI products goods are doing for the business. Thanks, David.
David Morton: Yeah. For sure. You know, these are things that we've been working through, obviously, not only at our annual updates, both from direct ARR or attach rates. And something that will have meaningful updates on coming forward in our upcoming investor day. So I don't wanna steal all of our thunder with that, but, obviously, the success has been far and wide for us. I'm very pleased with both the application from our go-to-market teams as well as our own internal development and the uptake, and so, more to come on that.
Brian Schwartz: Sounds good. I think we'll find out pretty soon at your investor meeting this month. Today. Thanks for taking my questions.
Operator: Your final question comes from the line of Kevin McVeigh from UBS. Your line is live.
Kevin McVeigh: Yeah. Mine's already been answered. Thank you.
Operator: There are no further questions for the question and answer session. I'd now like to turn the call back over to John Hall for final comments.
John Hall: Okay. Well, we appreciate everybody's time today and the questions. We are very excited to have you all at our Investor Day event in a few weeks in February in New York City. There's a lot of opportunities to share all the things that we've been working on, and then later that day is our Intapp Amplify program where we're going to be making some pretty important announcements. So we're excited to have you. And we'll look forward to chatting with you there. And then we'll talk to you again next quarter. So thanks, everyone. We appreciate it.
Operator: Thank you. And with that, we conclude our program for today. We thank you for participating, and you may now disconnect.